Operator:
’:
’:
Allison Townsend: Thank you, and good afternoon, everyone. After the market closed today, Metabolix issued two press releases, the second quarter 2012 financial results press release and the announcement of a letter of intent with Antibióticos to manufacture Mirel Biopolymers. If you have not received a copy of these press releases copies may be found on the website at www.metabolix.com in the Investor Relations section.
’: Making the presentation today will be Richard Eno, President and Chief Executive Officer of Metabolix; and Joseph Hill, Chief Financial Officer of the company. They are joined by Oliver Peoples, a co-founder of Metabolix and Chief Scientific Officer. Before we begin our formal remarks, I need to remind everyone that part of our discussion today will include forward-looking statements. These statements are not guarantees of future performance, and therefore undue reliance should not be put upon them. Investors are also cautioned that statements in the discussion today which are not strictly historical statements constitute forward-looking statements.
’:
’:
Rick Eno: 
’: I will also provide you with an update on our chemicals program which is advancing rapidly with both the achievement of technical milestones and with the engagement of potential customers. After my remarks Joe will then take you through the financials. With so much to cover today I will not provide an overview, but I will remind you that at Metabolix we are focused on three business platforms, first Mirel, a family of biobased and biodegradable polymers. Second, industrial chemicals initially focused on C4 and C3 biobased chemicals as dropped in replacements for conventional chemicals. And third, crop-based activities which include our programs in switchgrass, oilseeds and sugarcane. All of these efforts are enabled by our PHA or polyhydroxyalkanoates technology around which we have over 700 patents either awarded or pending.
’: I will also provide you with an update on our chemicals program which is advancing rapidly with both the achievement of technical milestones and with the engagement of potential customers. After my remarks Joe will then take you through the financials. With so much to cover today I will not provide an overview, but I will remind you that at Metabolix we are focused on three business platforms, first Mirel, a family of biobased and biodegradable polymers. Second, industrial chemicals initially focused on C4 and C3 biobased chemicals as dropped in replacements for conventional chemicals. And third, crop-based activities which include our programs in switchgrass, oilseeds and sugarcane. All of these efforts are enabled by our PHA or polyhydroxyalkanoates technology around which we have over 700 patents either awarded or pending.
’:
’: We anticipate two phases of our relationship with Antibióticos. First, in demonstration phase which will begin immediately we will work together to integrate our technology and run the entire process of PHA fermentation and recovery on commercial scale equipment, the vast majority of which is already at their facility. The purpose of this phase is to initiate technology transfer to Antibióticos and to identify the specifics of any equipment needed to ultimately operate the facility at our targeted 10,000 ton per year scale. Given that all fermentation assets are in place and much of the recovery equipment we are aiming to produce demonstration quantities of Mirel in this demonstration phase by early 2013. In addition, during this phase the companies will complete additional economic and engineering feasibility studies related to the establishment in commercial operation of Mirel biopolymer resin onsite in Antibióticos.
’: I will remind you that in the first half of 2012, we engaged in extensive discussions with more than 10 perspective manufacturing and commercialization partners for biopolymers, based on the strong outpouring of interest following the exit of ADM from the joint venture. As we narrowed our selection to Antibióticos for this initial production, we also engaged in a review of manufacturing options around the world that could be utilized for industrial scale production of PHA materials.
’: Why, Antibióticos? There were several factors associated with the selection of Antibióticos as our initial launch point for Mirel biopolymers. But, the top four and most important, our speed, capabilities, capacity and location. First speed, it is our goal to start making commercial quantities of Mirel as quickly as possible. At Antibióticos the fermentation capacity and key pieces of equipment relevant to our polymer recovery operation are available to us immediately and validation runs are being planned as we speak. We aim to be making demonstration quantifies or Mirel biopolymers in early 2013 and launching commercial supply later in 2013. Second capabilities, through our technical due diligence at Antibióticos we are confident that their capabilities, skill set and equipment will be well matched to our technology for both fermentation and polymer recovery. Antibióticos has been producing fermentation based products for over 50 years and this experience is clearly reflective in their workforce and their approach to business. I will also mention that we found their management and staff professional committed to our relationship in a good cultural fit with out team. Third capacity, we firmly believe that matching production capacity with market demand will result in commercial success. We expect that Antibióticos equipment to enable commercial scale capacity at our initial target of 10,000 metric tons or ₤22 million per year. As we described to you in January, we believe this is the proper scale to develop the initial market for Mirel and develop a solid platform for growth. We also anticipate being able to implement our latest technology with improved strains and recovery technology versus the 2006 vintage technology deployed with ADM.
’: Why, Antibióticos? There were several factors associated with the selection of Antibióticos as our initial launch point for Mirel biopolymers. But, the top four and most important, our speed, capabilities, capacity and location. First speed, it is our goal to start making commercial quantities of Mirel as quickly as possible. At Antibióticos the fermentation capacity and key pieces of equipment relevant to our polymer recovery operation are available to us immediately and validation runs are being planned as we speak. We aim to be making demonstration quantifies or Mirel biopolymers in early 2013 and launching commercial supply later in 2013. Second capabilities, through our technical due diligence at Antibióticos we are confident that their capabilities, skill set and equipment will be well matched to our technology for both fermentation and polymer recovery. Antibióticos has been producing fermentation based products for over 50 years and this experience is clearly reflective in their workforce and their approach to business. I will also mention that we found their management and staff professional committed to our relationship in a good cultural fit with out team. Third capacity, we firmly believe that matching production capacity with market demand will result in commercial success. We expect that Antibióticos equipment to enable commercial scale capacity at our initial target of 10,000 metric tons or ₤22 million per year. As we described to you in January, we believe this is the proper scale to develop the initial market for Mirel and develop a solid platform for growth. We also anticipate being able to implement our latest technology with improved strains and recovery technology versus the 2006 vintage technology deployed with ADM.
’:
’: Using our historical pricing guidance we estimate that this initial site has the potential to generate approximately 50 million to 60 million in annual revenue for Metabolix. Through product and process technology we are already developing ways to enhance this, again we see this as a platform for future growth. A capital intensity our choice to select a contract manufacturing option as opposed to buying a facility or building a facility is to execute commercial scale production acquiring a limited capital investment. At Antibióticos, the fermenters are already in place as is much of the recovery equipment. As we prepare for the contract manufacturing phase our anticipation is that we will need to secure a limited amount of additional recovery equipment which we believe we can do at short lead time and a relatively low capital cost. We will be working with Antibióticos to finalize the details of the contract manufacturing arrangement and to map out the details of the required capital investment as we work together under the demonstration phase of the LOI in the coming months. While we anticipate the capital cost being modest and manageable for Metabolix we can now choose to open conversations if we wish with a number of customers who had expressed an interest in investing with us in PHA manufacturing. On earnings, again it is much too early to offer any guidance on the earnings potential from on the Antibióticos facility, but our analysis and collaborative relationship with Antibióticos should allow this to be cash generator for Metabolix once the business is ramped up. While it should be clear to you that we are enthused about the potential of the Mirel launch we are well aware of the many challenges in front of us and are working aggressively to overcome them.
’: Using our historical pricing guidance we estimate that this initial site has the potential to generate approximately 50 million to 60 million in annual revenue for Metabolix. Through product and process technology we are already developing ways to enhance this, again we see this as a platform for future growth. A capital intensity our choice to select a contract manufacturing option as opposed to buying a facility or building a facility is to execute commercial scale production acquiring a limited capital investment. At Antibióticos, the fermenters are already in place as is much of the recovery equipment. As we prepare for the contract manufacturing phase our anticipation is that we will need to secure a limited amount of additional recovery equipment which we believe we can do at short lead time and a relatively low capital cost. We will be working with Antibióticos to finalize the details of the contract manufacturing arrangement and to map out the details of the required capital investment as we work together under the demonstration phase of the LOI in the coming months. While we anticipate the capital cost being modest and manageable for Metabolix we can now choose to open conversations if we wish with a number of customers who had expressed an interest in investing with us in PHA manufacturing. On earnings, again it is much too early to offer any guidance on the earnings potential from on the Antibióticos facility, but our analysis and collaborative relationship with Antibióticos should allow this to be cash generator for Metabolix once the business is ramped up. While it should be clear to you that we are enthused about the potential of the Mirel launch we are well aware of the many challenges in front of us and are working aggressively to overcome them.
’: Using our historical pricing guidance we estimate that this initial site has the potential to generate approximately 50 million to 60 million in annual revenue for Metabolix. Through product and process technology we are already developing ways to enhance this, again we see this as a platform for future growth. A capital intensity our choice to select a contract manufacturing option as opposed to buying a facility or building a facility is to execute commercial scale production acquiring a limited capital investment. At Antibióticos, the fermenters are already in place as is much of the recovery equipment. As we prepare for the contract manufacturing phase our anticipation is that we will need to secure a limited amount of additional recovery equipment which we believe we can do at short lead time and a relatively low capital cost. We will be working with Antibióticos to finalize the details of the contract manufacturing arrangement and to map out the details of the required capital investment as we work together under the demonstration phase of the LOI in the coming months. While we anticipate the capital cost being modest and manageable for Metabolix we can now choose to open conversations if we wish with a number of customers who had expressed an interest in investing with us in PHA manufacturing. On earnings, again it is much too early to offer any guidance on the earnings potential from on the Antibióticos facility, but our analysis and collaborative relationship with Antibióticos should allow this to be cash generator for Metabolix once the business is ramped up. While it should be clear to you that we are enthused about the potential of the Mirel launch we are well aware of the many challenges in front of us and are working aggressively to overcome them.
’:
’: To conclude working with Antibióticos enables Metabolix to collaborate with a highly capable partner and maintain control of all aspects of our technology and process. It allows us to stay flexible, to work with multiple partners, to deploy new technology when we see fit and to integrate biopolymers and chemical manufacturing in the future. We will enter the market quickly, at a reasonable scale and economics, free from the over $400 million ledger balance that existed under the Telles relationship. So the signing of the LOI with Antibióticos is a first step, but a very important step in our overall plan to set up our supply chain to serve biopolymer customers worldwide and bring our PHA technology to market. Now, I would like to provide an overview of the market and second quarter revenues for biopolymers. First of all, there was nothing we have seen over the last year that diminishes our enthusiasm for Mirel and bioplastics in general. The markets continue to grow rapidly and the Mirel product is highly differentiated and it offers unique benefits. As we have mentioned in previous calls, the smaller production scale that we are initially pursuing allows us to focus on higher valued segments and applications and we can see substantial growth beyond this first facility. In the second quarter we recorded $373,000 in product revenue, this represents a significant increase from the $14,000 reported in Q1, which only reflected three weeks of activity. During this quarter, we supplied several of our historic customers and also began to supply new customers. One key area where we saw activity in the second quarter was the compostable bag market in Europe. As you know, we have been working with European customers to develop and market compostable bags based on our Mvera film. And we are pleased to say we have continued productive conversations with customers serving this market and customers have been placing orders. We have also been serving customers in the horticulture, anaerobic digestion and marine degradable segments. We expect our pipeline to broaden significantly as we discuss with customers the establishment of Mirel supply through Antibióticos. Given their sales now we have provided out of inventory I would like to reiterate that we are not trying to sell the inventory as fast as we can but rather to deploy it strategically with core customers to help meet their needs prior to our manufacturing launch. Now with the Antibióticos relationship being firmed up we are very confident we can use the existing inventory to continue to serve our current customers, cultivate new customers through sampling and developed high value added applications. We have more than 5 million pounds of product inventory available for these users.
’: Now I am on slide four to begin the update our chemicals platform. In industrial chemicals we are leveraging our PHA microbial technology to enable chemicals that are currently being produced from fossil fuels to be produced from renewable raw materials. We have selected the C4 family followed by the C3 family of chemicals as our entry strategy into this space. Together the addressable market for these products exceed $10 billion. Our technology is unique in that the same basis process can produce both families of products with only relatively minor tailored purification modifications based on the specific molecule being produced.
’: Now I am on slide four to begin the update our chemicals platform. In industrial chemicals we are leveraging our PHA microbial technology to enable chemicals that are currently being produced from fossil fuels to be produced from renewable raw materials. We have selected the C4 family followed by the C3 family of chemicals as our entry strategy into this space. Together the addressable market for these products exceed $10 billion. Our technology is unique in that the same basis process can produce both families of products with only relatively minor tailored purification modifications based on the specific molecule being produced.
’: In our C3 program we are also now in a range of discussions with potential feedstock manufacturing and off-take partners for our renewable C3 chemicals technology. In the first quarter, we produced densified biomass for acrylic acid, a key C3 chemical and have shipped the product to the market. In the second quarter we produced biobased acrylic acid in scaled up equipment in our Cambridge laboratories. With the global market estimated at over $8 billion this is a very attractive market for our technology. In addition to our technology and customer progress we also have worked to further our intellectual property around this field. We believe that this will offer us a long runway for the technology and a range of options for commercialization.
’: In our C3 program we are also now in a range of discussions with potential feedstock manufacturing and off-take partners for our renewable C3 chemicals technology. In the first quarter, we produced densified biomass for acrylic acid, a key C3 chemical and have shipped the product to the market. In the second quarter we produced biobased acrylic acid in scaled up equipment in our Cambridge laboratories. With the global market estimated at over $8 billion this is a very attractive market for our technology. In addition to our technology and customer progress we also have worked to further our intellectual property around this field. We believe that this will offer us a long runway for the technology and a range of options for commercialization.
’: In the first half of 2012, we continued to make progress in our work on the $6 million Department of Energy grant for the development of our biomass program. This funding will allow us to work on increasing the PHB levels expressed in switchgrass and conduct pilot testing at the production of chemical intermediates via our FAST process. In addition to the DOE grant we continue to identify opportunities for additional grants and collaborations to fund this work.
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
Joe Hill: 
’: Turning to slide seven for the second quarter, net cash used in operating activities was $5.9 million which represents a decrease in cash usage from $12.3 million used during the first quarter of 2012 and remains consistent with the net cash used $5.9 million for the comparable quarter in 2011. The $6.4 million decrease in net cash usage in the second quarter 2012 compared to the first quarter 2012 was primarily attributable to the purchase of more than 5 million pounds of PHA biopolymer inventory from Telles for approximately $3 million during the first quarter.
’: Turning to slide seven for the second quarter, net cash used in operating activities was $5.9 million which represents a decrease in cash usage from $12.3 million used during the first quarter of 2012 and remains consistent with the net cash used $5.9 million for the comparable quarter in 2011. The $6.4 million decrease in net cash usage in the second quarter 2012 compared to the first quarter 2012 was primarily attributable to the purchase of more than 5 million pounds of PHA biopolymer inventory from Telles for approximately $3 million during the first quarter.
’:
’: Metabolix also recorded revenue related to the sales of PHA inventory and the amount of $400,000 and related cost of product revenue of $400,000. The cost of product revenue includes the cost of product shipped to customers, warehousing and freight cost. I want to highlight that the cost of product revenue includes significant ongoing and one-time warehouse costs for the over 5 million pounds of inventory we have on hand.
’: Metabolix also recorded revenue related to the sales of PHA inventory and the amount of $400,000 and related cost of product revenue of $400,000. The cost of product revenue includes the cost of product shipped to customers, warehousing and freight cost. I want to highlight that the cost of product revenue includes significant ongoing and one-time warehouse costs for the over 5 million pounds of inventory we have on hand.
’: Revenue in the second quarter of 2011 primarily resulted from revenue recognized from royalties under licensing arrangement with Tepha a related party and government grant revenue. Total revenue for the six months ending June 30, 2012 was $40.2 million versus $500,000 for the year ago period. The year-over-year increase was primarily related to $38.9 million in deferred revenue which was recognized as a result of the termination of the Telles joint venture. If you recall from the description I provided in Q1 this $38.9 million in deferred revenue recognition had no cash impact. Increases in grant and product revenues during the first six months of 2012 compared to the first six months of 2011 of $700,000 and $400,000 respectively were partially offset by a $300,000 decrease in licensing royalty fees received from Tepha.
’: Total cost and expenses in the second quarter of 2012 were $8 million versus $10 million in the comparable quarter in 2011. Selling, general and administrative costs in the second quarter of 2012 were $3.4 million versus $4.2 million in the second quarter last year. Research and development costs were $5 million versus $6 million in the comparable quarter 2011. The reduction of cost and expenses reflects the restructuring conducted after the ADM termination. For the six months ended June 30, 2012 total costs and expenses were $19.4 million as compared to $20.2 million for the respective period in 2011. Research and development expenses were $11.1 million as compared to $12.2 million for the comparable six months in 2011. The decrease of $1.1 million was due to a decrease in employee compensation and related benefits expense net of one-time restructuring expenses of $500,000 and the reduction in contract research expense of $600,000 less frequent biopolymer product trials and a reduction in outside product testing. Selling, general and administrative costs in the first six months of 2012 were $7.8 million as compared to $8 million for the comparable six months in 2011. The decrease of $200,000 is primarily the result of a decrease in employee compensation and related benefits expense of $300,000 net of one-time restructuring expenses of $400,000. Net loss for the second quarter was $7.9 million as compared to a net loss of $10 million for the second quarter 2011. Our net loss per share in the quarter was $0.23 per share compared to a net loss per share of $0.33 per share in the year ago period. Net income for the first half of 2012 was $20.9 million or $0.61 per share compared to a net loss of $19.6 million or $0.69 per share in the same period of 2011. This increase in net income is mostly driven by recognition of deferred revenue. Now on to the balance sheet, our balance sheet remained strong. As of June 30, 2012, we had cash and investment of $59.9 million. This compares to $66 million as of March 31, 2012 and $95 million at June 30, 2011. Please note that our cash and investments that categorized on the balance sheet is both short term and long term. All of our investments both short term and long term are in government backed securities. Turning to slide nine, this slide summarizes the key points just discussed and highlights our current expectations for cash usage in 2012. We estimate operating cash uses for the year to be in the range of $28 million to $30 million before spending on capital expenditures. We anticipate and in the year with cash and investments balances of approximately $48 million to $50 million with the year end operating cash run rate of about $24 million this all excluding any additional partner funding, grant revenue, other sources of income for capital expenditures. We continue to have no debts.
’: First, is operational effectiveness. In biopolymers we are pursuing a capital efficient approach to launch Mirel. We do not intend to subsidize products in the marketplace. We need to produce it cost effectively and sell it profitably. Given our understanding of the product and the markets, we believe we have an approach to operate this business profitably at a much smaller initial sales level than possible in a large scale facility. Second is partners, while we anticipate the Mirel biopolymers launch economics being manageable for Metabolix, we can now choose to open conversations if we wish, with a number of customers who have expressed an interest in investing with us in PHA biopolymers manufacturing. In biobased chemicals we believe our technology will be highly competitive and are in discussions with numerous partners, all of whom have significant financial wherewithal. Partner relationships can take numerous forms ranging from direct investments to off-take agreements. Third is the timing of our programs. Our intellectual properties extents in some cases for nearly 20 years. We therefore have the ability to adjust our resourcing and timing of our non-Mirel programs commensurate with our financial resources. And fourth, alternative financing vehicles. We have a number of additional alternatives such as grants and loans, which will be evaluated and pursued, if required. As the Antibióticos launch plan is firmed up in the coming months, we will optimize our approach to manage our resources. What should be clear, is that our primary objective is to launch the Mirel business rapidly and profitably. Establish a platform for long term growth and we plan to manage our financial resources in order to do so.
’: First, is operational effectiveness. In biopolymers we are pursuing a capital efficient approach to launch Mirel. We do not intend to subsidize products in the marketplace. We need to produce it cost effectively and sell it profitably. Given our understanding of the product and the markets, we believe we have an approach to operate this business profitably at a much smaller initial sales level than possible in a large scale facility. Second is partners, while we anticipate the Mirel biopolymers launch economics being manageable for Metabolix, we can now choose to open conversations if we wish, with a number of customers who have expressed an interest in investing with us in PHA biopolymers manufacturing. In biobased chemicals we believe our technology will be highly competitive and are in discussions with numerous partners, all of whom have significant financial wherewithal. Partner relationships can take numerous forms ranging from direct investments to off-take agreements. Third is the timing of our programs. Our intellectual properties extents in some cases for nearly 20 years. We therefore have the ability to adjust our resourcing and timing of our non-Mirel programs commensurate with our financial resources. And fourth, alternative financing vehicles. We have a number of additional alternatives such as grants and loans, which will be evaluated and pursued, if required. As the Antibióticos launch plan is firmed up in the coming months, we will optimize our approach to manage our resources. What should be clear, is that our primary objective is to launch the Mirel business rapidly and profitably. Establish a platform for long term growth and we plan to manage our financial resources in order to do so.
’: 
Operator: 
’:
Laurence Alexander – Jefferies: Good afternoon.
Joe Hill: Hi Laurence.
Laurence Alexander – Jefferies: 
’:
Joe Hill: 
’:
’:
’:
Laurence Alexander – Jefferies: 
’:
Joe Hill: 
’:
Laurence Alexander – Jefferies: Right.
Joe Hill: 
’:
’:
’:
’:
’:
’:
Laurence Alexander – Jefferies: 
’:
Joe Hill: 
’:
Laurence Alexander – Jefferies: Okay, thank you.
Joe Hill: Thank you.
Operator: 
’:
Mike Ritzenthaler -- Piper Jaffray: Good afternoon. This is Henrike for Mike. So we understand that you saw the preliminary stages of Antibióticos, can you give some sense for what the CapEx for the DOE test Antibióticos will be and what is the feedstock?
Joe Hill: Feedstock is sugars, but as you know with our Mirel platform can use a range of feedstock, but the typical feedstock at Antibióticos is sugars. We are not in a position yet to talk about the specific capital number. What is true and what we have said is that the nice thing about Antibióticos is that all the fermentation is in place, the supporting utilities are in place and the vast majority of the recovery equipment is in place. So we expect capital to be quite modest.
Mike Ritzenthaler -- Piper Jaffray: Okay. In terms of cost of goods, there was higher than expected, can you give us some color on the warehousing costs and when we might see them fall?
Joe Hill: 
’:
Mike Ritzenthaler -- Piper Jaffray: Pounds?
Joe Hill: 
’:
Rick Eno: And there were some one-time costs as Joe had mentioned of getting the inventory into locations suitable for us that have basically ended or will end very shortly.
Mike Ritzenthaler -- Piper Jaffray: Okay. Thanks for that. In terms of the sales from SoilWrap at the retail level I believe it was launched in three states. So any initial read on the sales of those and what are the chances peak may be expanded?
Rick Eno: 
’:
’:
’:
’:
Mike Ritzenthaler -- Piper Jaffray: Got it very good. And lastly any good visibility on licensing revenue from the PHA, PLA technology from the PPP NatureWorks?
Rick Eno: 
’:
’:
’:
Mike Ritzenthaler -- Piper Jaffray: All right, thanks guys.
Rick Eno: Yup.
Operator: 
’:
JinMing Liu -- Ardour Capital: Thanks for taking my question.
Rick Eno: Hey, Jin.
JinMing Liu -- Ardour Capital: 
’:
Rick Eno: 
’:
’:
’:
JinMing Liu -- Ardour Capital: Okay, then how big will the demonstrations scale production be?
Rick Eno: 
’:
’:
’:
JinMing Liu -- Ardour Capital: 
’:
Rick Eno: 
’:
’:
JinMing Liu -- Ardour Capital: Okay, that sounds good. Also will that lastly relate to your cash management, the size of your G&A and R&D cost is still very high, do you have any plan to cut those expense further?
Rick Eno: 
’:
’:
JinMing Liu -- Ardour Capital: Okay thanks.
Rick Eno: Thank you.
Operator: Our next question comes from Jeff Osborne with Stifel Nicolaus.
Jeff Osborne -- Stifel Nicolaus: 
’:
Joe Hill: 
’:
’:
’:
’:
Jeff Osborne -- Stifel Nicolaus: Okay, that makes a lot of sense. Just two other quick ones here on the sugar side, following on prior question. My guess is in Spain, are they using sugar beets and molasses as the feedstock to get the sugar?
Joe Hill: 
’:
Jeff Osborne -- Stifel Nicolaus: Okay. So in terms of cost structure if they are using corn to be pretty similar to the Reg guidance that you had given around the Quentin facility?
Joe Hill: 
’:
’:
’:
Jeff Osborne -- Stifel Nicolaus: Okay, that makes sense. And just a last one on – your partner on the chemical side that you had announced before, development work with CJ. Could you just give U.S. an update on where that stands?
Joe Hill: 
’:
’:
’:
’:
’:
’:
Jeff Osborne -- Stifel Nicolaus: Great, thanks for all the detail.
Joe Hill: Thank you.
Operator: 
’:
Uu Yang – JPMorgan: Thank you for taking my questions. Some of my questions have been answered, but earlier you commented that now the customer focus would be in Europe. Does it mean that the product revenue you recognized this quarter, most of that is from European customers that you shipped the product from U.S. to Europe?
Joe Hill: 
’:
’:
Uu Yang – JPMorgan: 
’:
’:
Joe Hill: 
’:
’:
Uu Yang – JPMorgan: Okay, thank you.
Operator: 
’:
’:
Rick Eno: 
’:
’:
’:
Operator: 